Operator: Good day, and welcome to the Peabody Energy Corporation Quarter Four 2025 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. To withdraw your question, please press star then 2. Please note that this event is being recorded. I would now like to turn the conference over to Kayla Finckling, Director of Investor Relations. Please go ahead.
Kayla Finckling: Thanks, operator, and good morning, everyone. We appreciate you joining us for Peabody Energy Corporation's fourth quarter and full year 2025 earnings call. Joining me today are Peabody Energy Corporation's President and CEO, James C. Grech, Chief Financial Officer Mark A. Spurbeck, and Chief Commercial Officer, Malcolm Roberts. After our prepared remarks, we will open up the call for questions. Before we begin, I want to remind you that our remarks today will include forward-looking statements. Please review the full statement contained in our earnings release and consider the risk factors referenced there along with our filings with the SEC. I'll now turn the call over to Jim.
James C. Grech: Thanks, Kayla, and good morning, everyone. I couldn't be more proud of the work of our Peabody Energy Corporation team which turned in an excellent quarter and year that was marked by a number of achievements. We are also seeing improving market fundamentals and have a full agenda of priorities for the new year. Safety always comes first at our operations. And we turned in another record safety year. With an incident rate of 0.71 per 200,000 hours worked. That's 12% better than our prior all-time record set just a year ago. It is still safer to work in a Peabody Energy Corporation coal than a grocery store or shopping mall, based on national incident rates. Peabody Energy Corporation also prides itself on environmental excellence. As witnessed in 2025, where we reclaim twice as many acres as we disturbed. This allows us to shrink our footprint and reduce our financial obligations over time. We also tied our all-time record low for environmental notices of violation. Operationally and financially, the quarter was right down the fairway in meeting or surpassing expectations across key metrics. Mark will cover these results in more detail in a few minutes. I'm pleased to announce that I was in Australia last week. Where the team was installing the very last shield and the finishing touches on the Centurion mine in advance of starting long wall mining. Well ahead of its original schedule. I have to say the culture that had been built at Centurion is outstanding, and our team is charged up and has started mining some of the best metallurgical coal in the world. Let me remind you of some of the extensive benefits Centurion has on the Peabody Energy Corporation portfolio. First, Centurion is expected to ship an average of 4.7 million tons per year of premium hard coking coal in a world that we remain convinced is structurally short of that product over time. We expect the mine to deliver 3.5 million tons in 2026, ramping up to that 4.7 mark by 2028. Second, Centurion's product is of the highest quality and coupled with proximity to key demand nodes in Asia, results in full benchmark pricing. Our realizations across our entire met coal segment are expected to increase from 70% of the recognized benchmark in 2025 to 80% this year. And as volumes ramp to 4.7 million tons, we expect it will further exceed that 80%. Third, this mine is a long-lived asset. Combined with the Wardswell acquisition in 2024, that allows significant development to the north Venturion accesses the coveted Goonyella middle scene and is expected to have a mine life of 25 plus years with an integrated mine plan of 140 million tons. Finally, we previously reported a net present value for the project of $1.6 billion with all-in costs of $105 per short ton and $2024 dollars at an average benchmark price of $210 per metric ton. A level we are already above today. Our latest assessment is that Centurion alone represents an NPV of $2.1 billion at $225 benchmark pricing. So top realizations with full benchmark pricing, low cost, and a long mine life. Centurion is truly the cornerstone asset in our strategy to maximize long-term shareholder value, and to intentionally reweigh our portfolio toward higher margin metallurgical coal. This event marks a culmination of years of disciplined strategic investment, and a position centering to deliver the scale, cost performance, and premium product quality needed to meet the growing global demand for high-grade steelmaking coal. Also during the quarter, we continued to make good progress in our asset optimization activities. Here our goal is straightforward. Our Peabody Energy Corporation development division is tasked with evaluating our vast land and mineral holdings to maximize our long-term earnings and cash flow potential from these assets. Actions include our work to locate renewable projects and formerly mine lands, notably in The United States with our three renewables. We're also working on Australia at the Centurion mine, developing a gas power station to convert waste gas to electricity starting at five megawatts and expanding to 20 megawatts. Activities also include a small plant facility to capture coal seam gas that will then be converted into LNG. During the fourth quarter, Peabody Energy Corporation development advanced activities in several developing areas. First, we conducted additional work to assess the rare earth and critical mineral potential at our US mines with extensive testing conducted at our PRB mines. Second, we held initial discussions with government officials and private partners regarding the siting of power plants that would make use of Peabody Energy Corporation's extensive US coal reserves. And third, we are working with the Trump administration to increase US coal exports from the West Coast to the growing Asian coal markets. Earlier this week, I had the opportunity to participate in the C SIS sponsored event Securing Critical Cold Mineral Supply: A Government Industry Dialogue. Held in partnership with the Critical Minerals Ministerial and the Trump Administration. I want to express our appreciation to the White House National Energy Dominance Council and Department of Energy for including us in this dialogue. This discussion underscored the growing national focus on strengthening domestic critical mineral supply chains, and the important role US companies can play in that effort. We were pleased to contribute our perspective particularly as we continue to evaluate opportunities where Peabody Energy Corporation's assets expertise and partnerships may support emerging critical mineral initiatives. We look forward to continued engagement as the federal government and industry work together to address strategic supply chain challenges. Regarding Peabody Energy Corporation's progress in pursuing opportunities with rare earth and critical minerals, let me share where we are at at this stage. Peabody Energy Corporation has conducted a robust critical mineral testing program since the middle of last year. In excess of 800 samples from the PRB alone. In addition to the standard array of light rare earth elements, our assessments to date have uncovered promising concentrations of heavy, rare earths, and other critical minerals. We're encouraged by the presence of heavy rare earths account for an estimated 21% to 28% of the critical mineral oxide concentrations. I would also note that targeted concentrations of germanium and gallium in select locations show good potential. In addition to our testing program, Peabody Energy Corporation is developing flow sheet with multiple third parties to support the technical and economic assessments as well as the ultimate production of rare earth products. Is also continuing to work with government agencies at the state and federal level. We were pleased to be recommended to receive funding of a $6.25 million grant by the Wyoming Energy Authority for a pilot processing plant in the state. The application now goes through a public comment period before consideration by the governor later this month. At this time, we are taking an options-based approach using multiple feedstock locations, and process partners. We do so to expand our opportunities for success, and potentially accelerate time to market. These are still early days in our rare earth and critical mineral journey, We are sufficiently encouraged to continue our progress here to further evaluate the commercial potential. We look forward to sharing more detail as this work reaches appropriate milestones. Turning to energy policy. Several weeks ago, I was honored to be appointed by the US secretary of energy to chair the newly reconstituted National Coal Council. Key priority of the NCC will be to advise administration on ways to expand use of coal fuel generation, build new coal plants, and export greater quantities of US coal. Why should coal be central to any discussion of US energy policy? Coal is, quite simply, America's largest energy asset. More than that, America has more energy in its coal, than any nation has in any one energy source. More energy than Saudi Arabia has in its oil, and more energy than Russia has in its natural gas. It would be irresponsible to not use this unique asset for the benefit of the American people. It's clear that Peabody Energy Corporation is at the intersection of multiple policy and market trends. Both structural and cyclical, that are moving in a highly favorable direction. To set the stage, our market discussion, I'll note that the International Energy Agency recently came out with their annual coal report. 2025 once again set an all-time record for global coal use at 8.8 billion metric tons. That means that world coal use has nearly doubled in the 25 years since the new century started. As nations pull people from poverty, urbanized, and electrified. A trend that continues today. This occurs at a time when US went through a deep freeze and unsurprisingly to us coal moved to the top of the dispatch list on many of the most extreme days. Renewables are largely unavailable on multiple regions. And natural gas prices more than doubled in just one week. As utilities were forced to compete with residential customers, and businesses at their most vulnerable times. Not so with coal plants, which can stockpile once a fuel supply of fuel supplies and face nowhere close to the price volatility, and surges of some other forms of energy. Peabody Energy Corporation is seeing substantial strength in the markets for both domestic thermal and seaborne metallurgical coal markets. For more on supply demand dynamics, I'll turn things over to our Chief Commercial Officer, Malcolm Roberts.
Malcolm Roberts: Thanks, Jim, and good morning, all. I'll start with the seaborne metallurgical coal markets with benchmark pricing has risen to a highest mark in 18 months. And increased 15% from $190 per tonne levels of the beginning of the fourth quarter. Since the beginning of the year, pricing has increased a further 15%. For several quarters now, we've been projecting the Chinese anti evolution policies would tighten up the supply and demand dynamics in the global metallurgical coal markets. That trend continues in China, We've seen a shuttering of unprofitable steel mills, increased safety checks, at coal mines, implementation of two seventy six day work limits, and other on the ground changes that have worked together to form a foundation for met coal pricing. As we moved into 2026. 2025 saw the increase of blast furnaces along the coast in India. And the gradual transition of global steel production from China to India is a trend that we expect to continue during 2026. We expect India to increase its direct purchase of coking coal as well as supportive coke imports from countries such as Indonesia that also don't have major domestic metallurgical coal supplies. China is still exporting more steel than the world needs. And in the process of suppressing steelmaking from other nations that rely on the seaborne markets for much for a much greater percentage of their coking coal needs. We've begun to see some protectionism come into play in Europe, and India that will likely support domestic steel production. During 2026. Metallurgical coal, and in particular, hard coking coal markets were tightening, and prices were improving even before the monsoon season settled into Queensland. Further constraining cement coal production and transportation. Overall, this market backdrop makes a perfect time to bring on increased shipments from the Centurion mine. Thermal markets have remained mostly stable in recent months. The benchmark Newcastle product is approximately a $115 per ton, That's within a 10% of where it was two years ago. One year ago, and one quarter ago. That's the epitome of a trading range. Even with a substantial amount of individual countries' supply and demand dynamics, affecting individual coal flows. But it also remains a highly profitable trade for Peabody Energy Corporation with lower cost seaborne thermal coal. Production. A fundamental to watch on the supply side is the recent government policy adjustments in Indonesia where production quotas for thermal coal, if enforced, could have the effect of removing more than a 100 million tonnes of thermal coal from the seaborne market in 2026. How all this plays out is yet to be seen. However, if followed through, on this dynamic can be seen as positive for Newcastle pricing. As the year progresses. This occurs against the backdrop in which Asian Asian countries continue to add coal generation capacity. China added some 80 gigawatts of new capacity in 2025, and China is expected to launch more than a 100 coal units this year. India's coal-fired capacity has been projected to rise 87% reach 420 gigawatts by 2047. Indonesia, the world's largest thermal coal exporter, saw power capacity more than double in the last decade. In Southeast Asia, coal demand is growing at a 4% compound annual growth rate, while Vietnam set another record. For coal use in 2025. Turning to US coal markets, I'd point to one number that is most noteworthy of all, Coal fuel generation was up an estimated 13% year over year. In 2025, 13% That ran well ahead of any projections. That occurred at the time when coal production was up just an estimated 4% in 2025. To make that equation work, utility stockpiles declined an estimated 15% year over year. Coal was reemerged as a solution because demand growth was not only unforeseen, but unplanned for because other forms of energy are constrained and because existing US coal plants can run much harder. That's why Peabody Energy Corporation calls coal plants the best form of incremental generation. For the next several years. Other forms will struggle to provide incremental growth versus what is planned. Let's check through the list. Renewables continue to be built out. But don't solve the problem of data centers and factories that they twenty four seven generation. Natural gas has been increasingly relied upon but gas generation has a substantial backlog Many gas plants ordered today are unlikely to be placed in service before twenty third. Gas prices have remained highly volatile in recent months, of course. Nuclear generation faces lead times and permitting that make it a best of ten, fifteen, or twenty year solution. And then there's existing coal plants. Which ran at 42% of capacity in 2024. Versus 72% at historical high levels. Running those plants harder could add up to 10% of total US power generation from 2024 levels. And accommodate US power demand growth by itself for multiple years. That would also translate into more than 250 million tons per year in additional coal demand. Coal plants offer a great cost advantage for utilities and consumers. A recent report punctuates this. Energy Ventures analysis looked at the cost of replacing existing coal plant generation with comparable new generation from other sources. And these results strongly favor continuing to operate existing coal plants. For instance, replacing retiring coal plants with new solar sources, would be 10 times more expensive than continuing to operate the coal plants. Coupled with economics, grid stability supports coal plant extensions. Plants that were slated for retirement have been extended in record numbers. With 35 gigawatt of coal plants having seen their proposed retirements be deferred. Just several weeks ago, we saw another plant extended into 2026. How is this changing utility behavior? In one more punctuation point added to the caller's backstory, Peabody Energy Corporation reached agreement recently with a major Midwestern utility for more than 20 million tons of Illinois Basin coal over five years. The contract exceeds $1 billion in total sales over time. We have sourcing flexibility from multiple mines and market reopeners. This is just one more sign, of course, that USA coal plants are here for the long term. Mark, over to you.
Mark A. Spurbeck: Thanks, Malcolm, and good morning all. Let me start with a brief overview of our financial performance. In the fourth quarter, we reported net income attributable to common stockholders of $10.4 million or $0.09 per diluted share. And adjusted EBITDA of $118 million a 19% increase from the prior quarter. Supported by higher seaborne thermal realizations and consistent focus controlling the controllables. We generated $69 million of operating cash flow from continuing operations during the quarter and $336 million for the full year. Peabody Energy Corporation ended the year with $575 million in cash and total liquidity above $900 million reflecting disciplined capital deployment through the period of intense development at Centurion and consistent cash generation despite lower than mid-cycle seaborne coal prices. We ended 2025 with another quarter of strong execution. For the full year, results met or exceeded original guidance for seven of eight volume and cost metrics. Seaborne Thermal delivered 3.3 million tons exceeding expectations. Realized export pricing averaged $81.80 per ton, up 7% from the third quarter. Costs came in below the low end of guidance and 12% lower quarter over quarter supporting a robust 31% adjusted EBITDA margin and $63.5 million of fourth quarter EBITDA. For the full year, the segment reported $222 million of adjusted EBITDA and total capital requirements were a mere $40 million Costs were down over $3 per ton year over year, driven by disciplined cost management and higher production at the Wambo open cut. Seaborne Met shipped 2.5 million tons. Up 400,000 from the third quarter and above the fourth quarter target. Realized pricing began to improve and cost at $113 per ton were consistent with expectations. The segment delivered $24.6 million of adjusted EBITDA in Q4. For the year, the segment generated $56 million of adjusted Shipments increased 1.3 million tons year over year to 8.6 million But better yet, full year cost beat original guidance by more than $10 per ton. Peabody Energy Corporation's met segment will be further meaningfully improved with the startup of Centurion, increasing volume to 10.8 million tons in 2026 and increasing segment wide price realizations 10% versus the premium hard coking coal index. The US thermal platform contributed $63 million of adjusted EBITDA in the fourth quarter, For the full year, segment generated nearly $250 million of adjusted EBITDA against only $57 million of CapEx, demonstrating the consistent free cash flow generation capability of our reliable low-cost US thermal portfolio. Over the last five years, The US thermal business has generated $1.1 billion of cash net of capital investment. The PRB operations shipped 22.3 million tons in the quarter and 84.5 million tons for the full year, almost 5 million tons or 6% more than the prior year. Answering the call for more reliable and affordable power as a result of increasing load growth. The segment contributed $44.8 million of adjusted EBITDA in Q4 and $175.8 million for the full year. Interestingly, a 6% increase in tons resulted in a 20% increase in EBITDA margin year over year in a mostly flat price environment. Demonstrating torque to higher volumes tight cost management, and the benefit of reduced federal royalties. The other US thermal segment contributed $18.1 million of adjusted EBITDA in the fourth quarter on shipments of 3.7 million tons exceeding expectations. Twentymile is performing well in its new longwall panel, and mining is expected to continue through the 2027 as we fulfill the existing contract with the Hayden plant in Colorado. Full year adjusted EBITDA reached $71.4 million Looking ahead to 2026, I'll briefly review guidance for the full year. Seaborne thermal volumes are expected to be lower than 2025 due to the closure of the Wambo underground mine in Q3 last year and lower production at Wilpinjong due to reduced operating phases as the mine progresses into narrowing pits ahead of the pit nine and ten extensions. Shipments are targeted at 12.5 million tons including 8 million export tons. Costs are projected to be above 2025 levels at $50 per ton and lower production. We anticipate a quality mix of 45% Newcastle and 55% higher ash product. Seaborne met volumes are projected to increase over 2 million tons to 10.8 million, with the start of longwall production at Centurion. At the CMJV complex, we expect production to increasingly transition to the Capabella mine as it completes the additional bench of pre-strip to improve high wall stability in the 2026. And Moorville depletes its reserves. Met coal costs are targeted at a $113 per ton about a dollar lower than last year. We anticipate segment wide average price realizations increasing to 80% of the premium hard coking coal index. For US thermal, expect a very similar year to 2025. In the 82 million tons and have 78 million tons priced at $13.4 Costs are expected to be consistent with 2025 levels at $11.50 per ton. Other US thermal volumes are expected to be 13.7 million tons. We have 13.2 million tons priced at $54.40 and expect costs of $47 per ton. Also in line with or better than 2025 results. Total capital expenditures are estimated at $340 million seventy million dollars lower than 2025 as Centurion begins longwall production. As we reflect on 2025, Peabody Energy Corporation delivered a year marked by disciplined execution and strategic investment. Our balance sheet remains robust and provides sufficient flexibility through price cycles. And the step change in met coal production reshapes our competitive position. We have invested approximately $750 million of organic cash flow to develop and expand Centurion. An investment that significantly enhances our leverage to premium hard coking coal markets and provides a cornerstone asset for the next 25 years. As a result, Peabody Energy Corporation enters 2026 from a position of strength. With an enhanced MET platform rapidly improving PLV benchmark prices, continued strong cash flowing thermal operations, and overall supportive market conditions. Together, these factors position the company exceptionally well for the year ahead. I'll now turn the call back over to Jim.
James C. Grech: Thanks, Mark. That closes the book on a successful 2025 and let's focus for a minute on our full slate of priorities for the new year. Peabody Energy Corporation's key focus areas include driving safe, reliable, and efficient operations across the portfolio, That's essential in the mining industry and remains our clear number one priority. Achieving full operational performance at the Centurion mine, The promise of Centurion now turns to reality for our shareholders. I'll remind investors that this feeds into the increasingly short premium hard coking coal market. Continuing the strong EBITDA to CapEx margins from Peabody Energy Corporation's high cash flowing thermal coal assets, That's true for both the Seaborne and US thermal business. Preserving balance sheet strength and improving free cash flow to support shareholder returns Our first priority for the use of cash remains shareholder returns. And all other potential investments must pass a high hurdle to compete for funding. And finally, progressing work streams to best advance and monetize commercial Peabody Energy Corporation development opportunities. With that, operator, we're happy to turn the call over for questions.
Operator: We will now begin the question and answer session. If you're using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, please press star then 2. At this time, we will pause momentarily to assemble our roster. The first question comes from Katja Jancic with BMO Capital Markets. Please go ahead.
Katja Jancic: Starting on the cost guide for '26 especially for your Australian operations, what do you assume for the Australian dollar in the cost guide? And then also, what do you assume on the met size for met pricing?
James C. Grech: Good morning, Katja. For the Australian dollar, we're looking at 70¢. Pretty much where we're at today.
Malcolm Roberts: And then now we're using a 225 benchmark pricing.
Katja Jancic: And then on the Centurion development, just looking ahead, can you remind us how much CapEx is potentially still left, especially to get to that Northern part?
James C. Grech: Yeah. So we're we're obviously starting the longwall here imminently in the South so that initial $500 million has been spent. We talked about $750 million in total. There were some already allocated to the North as well as the acquisition awards well. When we move forward now into 2026, nothing's changed what I said before. It's probably about a $100 million a year in development for the North for the next three years. On top of that, there's some sustaining capital in the South, call it $25 million a year.
Katja Jancic: Okay. Thank you. The next question comes from Nick Giles with B. Riley Securities. Please go ahead.
Nick Giles: Hey. Thanks very much, operator. Good morning, guys. My first one was just on the domestic thermal side. I mean, pricing in the PRB stepped down and 2025. Volumes rose. Seems like there could be a similar setup in 2026. So my question is, how should we think about pricing in '27 and beyond? I mean, is is there a scenario where prices revert to the upside or is is there kind of limited torque because of existing contracts? Appreciate any any color there.
James C. Grech: And Malcolm, would you like to comment on that, please?
Malcolm Roberts: Yeah. Sure. Look. The way we price is we layer in volumes probably on from from three to four years before the delivery period. And I'm not gonna give specific guidance in terms of how contracted we are for '27, but there's still quite a lot of contracting to be done there. And so that should be exposed to a favorable pricing environment because our view is is that this is a favorable pricing environment vis a vis the last two or three years.
Nick Giles: Got it. Thanks for that Malcolm. And then on the volume side, mean, do you think there's demand for incremental tons beyond your current guide? I know know increasing volumes is a different story, but would there be incremental demand?
Malcolm Roberts: Absolutely. I think so. I mean, we started the year with with quite a lot lower inventories. We've had reasonable cold snap, and and and we're already seeing those out there in the in in the the market. You know, we're responding to those today. So I still see incremental demand. There was incremental demand last year I see something playing out fairly similar. And I guess in terms of Peabody Energy Corporation participating on that, you know, our view is is value over volume. So it'll be about where the price point is. For those incremental tons. But I think as we've said in previous calls, the latent supply and capacity in the basin is starting to become quite stretched. So I'd expect that the people were pretty careful as to as to how they'd bid into these opportunities moving into this year.
Nick Giles: Understood. A appreciate all that color. One one more if I could. I mean, when we look at seaborne thermal costs, the midpoint's at $50 a ton. Pretty meaningful step up there year on year. So just was curious on what are the drivers there? Is it really just the lower volumes Is it mainly the drag at Wilpinjong? And you know, how how should we see see things improve over the course of the year? Thanks a lot. Yeah. Nick, for year over year cost in seaborne thermal, it's really a story of the lower production volume. So certainly an increase from lower production at Wilpinjong. There's a bit also lower production at Wamba Wilpincut, but much less so. And then know, the answer to Katja's question there about a 70¢ Aussie dollar, that's about 4¢ four cents higher than we realized last year. So that has a probably about a $34 impact as well. Got it. Very helpful. Well, guys, nice work at Centurion, and continue best of luck. Thanks, Nick.
Operator: The next question comes from Nathan Martin with the Benchmark Company. Please go ahead.
Nathan Martin: Thanks, operator. Good morning, everyone. Mark, just curious, how should we think about the cadence of shipments as the year progresses? Especially for the seaborne met and seaborne thermal segments? You know, it would seem the first quarter probably anticipated to be the weakest just given the the century and longwall will just be starting up. Obviously, you've got the sequencing. You called out. Any other operational items as well to keep in mind for the year longwall moves, etcetera, just when we think about that cadence? Thanks. Yeah. You got your finger on the right items there, Nate.
Mark A. Spurbeck: Seaborne thermal much less than ratable in the first quarter. And that's and that's Wilpin Young and Wamba OpenCut being less than rateable just simply from a mine sequencing perspective. So that that'll bounce up nice for us. In Q2 and even higher in Q3. When we think about seaborne met, we do have the two long wall moves. So both met trop and Shoal Creek are going through a longwall move so that's going to lower the production and, obviously, just getting, about two months of production from Centurion versus the full quarter. When we think about Centurion, you know, that's gonna ramp up probably about know, 700,000 tons in Q1, about a million to a million one Q2 and Q3, and then it'll fall back down in Q4 as we have a longwall move.
Nathan Martin: Very helpful, Mark. Appreciate that. And then maybe sticking with the seaborne met segments, I understand you guys now expect to realize approximately 80% of the the benchmark there with the additional centurion tons coming on. But could you maybe just give us a sense of kind of the the quality breakdown there? Like, maybe a percentage selling at at, you know, POV index versus five zero eight versus PCI, etcetera?
Mark A. Spurbeck: So not really, the only change year over year is Centurion. So think of all of those tons, 300,000,000 tons selling at benchmark, full benchmark pricing, maybe even a small premium. And then the rest of that portfolio will be selling at what is historically done in that 70% range.
Nathan Martin: Okay. Perfect. And then just maybe one to end on shareholder returns. As you guys said, spend for Centurion kinda winding down here. You know, met prices have improved here in the near term. When do you expect to be able to begin generating enough available free cash flow in order to return to to your share buyback? Thanks.
Mark A. Spurbeck: Yes. As Jim mentioned, it's our number one focus from a cap capital allocation perspective as shareholder returns. I think back on 2025 on the amount of dollars we invested to get Centurion online, $2.52 60,000,000 last year alone So we'll be down substantially at Centurion from a capital perspective probably $150,000,000 less going forward. We also had a lot of expenses related to the previously announced proposed transaction with Anglo. So we're starting the year at about $230,000,000 better. Then we look at premium hard coking coal prices being at $2.50 right now, substantially better than prior years particularly with Centurion coming online. So at today's prices, I think anyone could look at the guidance you provided and see some substantial free cash flow generation. And our policy remains the same to return that to shareholders Jim mentioned it's the number one priority with the Centurion development risk off the table. That return should be much closer to a 100% versus 65%.
Nathan Martin: Alright. Thanks, Mark. I'll pass it on. Appreciate the time, and best of luck this year.
Mark A. Spurbeck: Thanks, Nate.
Operator: Again, if you have a question, please press star then 1. The next question comes from George Eadie with UBS. Please go ahead.
George Eadie: Yes. Hi, team. Jim, Mark, Malcolm. So maybe first question for Malcolm. Can you just following up on the question before, can you help me what percent of prices in the PRV are cost linked? I guess, my question is if you're locking in contracts for late twenty twenty seven delivery, at just under 17 a short ton, which it looks like the futures is now at, If cost hold flat for those tons alone, can you essentially capture all that $5 as short tonne margin? Is that right? And good way to think about it?
Malcolm Roberts: Yeah. George, it's not difficult for me to get into specifics of each of the contracts, but but generally, we don't have a lot of rise and fall for cost within the PRB contracts. They rise and fall on the basis of government policy impositions, taxes, those types of things. So when pricing business, we gotta take a view of of of what costs are and what the market can bear out there. But we're not really a cost plus business. We look at at what we think the fair market level is out there, and and we'll pitch that in in that year's dollars effectively.
George Eadie: Okay. Then, like, in terms of taxes and forth, rebates, like, how how much is that sort of run out? Like, is it fair to assume, like, 20% of that price upside gets taken away and those sort of factors, or is it more about a give and take negotiation and those contracts prices aren't, like, exactly what you'll get?
Malcolm Roberts: Yeah. Look. I think you got it about right. I mean, if you go across our book, you you could say royalties, taxes, and the like. You know, could be could be 25%, something like that. So if you think about that, if the if prices go up, some of that gets taken away.
George Eadie: Yep. Okay. No. Thanks. Maybe to Jim and Mark. But just on volumes in Australia, Morbell, when does that deplete exactly which quarter And just on that, given a better 27, hopefully, for Coppabella, is sort of a million ton down year on year net for that JV sort of a right way to think about potentially?
Mark A. Spurbeck: George, first question on Moravail, I think, was the was the question We will be mining there all of this year and into 2020 Well, probably second half of the year will wind down at Moraville, and it'll it'll really transition all the capabella So looking for a little bit of decline year over year, as the combined entity. But I would say we'll be done midyear at Moorville.
George Eadie: Okay. Yep. Thanks for that one, Mark. And and sorry. Just on volumes as well there. Wilpinjong, can you remind us where that's at operationally and CapEx Is there anything sort of material to come back end of the decade with the sort of pit sequencing and that going on?
Mark A. Spurbeck: Yeah. So it's really sustaining capital for the next two, three years. We talked about the pit, you know, kinda eight, nine, 10 extensions. Back end of the decade, probably 2029 where we'll see a slug of capital and that'll be fleet and equipment as well. You know, maybe total of a $100,000,000 FRO
George Eadie: Okay. Thanks. I'll jump back in the queue. Cheers.
Mark A. Spurbeck: Thank you, George.
Operator: This concludes our question and answer session. I would like to turn the conference back over to James C. Grech for any closing remarks.
James C. Grech: Well, thanks for your time today, both for our longstanding investors as well as the many of you have been new to the story in the recent months. I believe we have a great year ahead of us, and we're looking forward to keeping you updated as the year goes on. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. May now disconnect.